: April 24, 2008 3:00 pm ET 
Executives: Bob Ready – President and CEO David McCauley – President of LSI Graphic Solutions Plus Fred Jalbout – President of LSI Technology Solutions Scott Ready – President of LSI Lighting Solutions Plus
Analysts: Jim Ricchiuti – Needham & Co. Diane Chime – Robert W. Baird & Co. Glen Wortman – Sidoti & Co. Jed Dorsheimer – Canaccord Adams Robert Pulaski [ph] – Financial Institutional [ph] Rick Dotae [ph] 
Operator:  Good afternoon, and welcome to the LSI Industries conference call. Today's presenter will be Mr. Bob Ready, CEO of LSI Industries. (Operator instructions) Now without further delay, I would turn your call over to Mr. Bob Ready. 
Bob Ready:  Thank you. Good afternoon, everybody. I think I would like to start off by making just a couple of short comments in reference to the quarter. There's no question that we were all disappointed with the end result, but with that said, I think based on the conditions of the economic environment, certainly here in the North American market, and especially when you take our Number One – or our largest retail customer, which we won't name, but I think most folks know who that is, that the guidance in the direction of what’s been taken with that customer sets the precedence of what’s going on in the retail environment.  And from my perspective, I'm looking at LSI now as having some very interesting opportunities. Obviously the environment, the economic environment has a great deal of concern with us, but let's start off by just quickly going through some of the quick markets and how they stand.  And with me today, I have Scott Ready, the President of the Lighting Group; David McCauley, President of the Graphics Group; Fred Jalbout, and Jonathan Labbee in Montreal that they will be getting involved with the technical aspect of our business, and Ron Stowell, our Chief Financial Officer.  We thought that today would be just a day of really question and answers. We don't have any formal presentation, we don't have a bunch of slides, we really want to get into the meat and potatoes of the quarter and what we feel is coming in the future. So we thought that the time allocated would really offer you the opportunity to ask as many questions as you would like. I only ask that from a time standpoint, if you could prioritize your questions, try to keep them to one or two questions at the beginning, we would like to get through all, answer all the questions that we can, with all of the folks that are online with us, and then the remaining time, if there are a few questions left, then please chime in, but we want to try to answer everybody's question, that their primary questions in the time allocated.  As I started to say, in looking at the overall conditions of the company, I couldn't be more pleased with where we are. Certainly the revenue results aren't where we would like them to be. I think it's important to understand that the third quarter is definitely our most challenging. No excuses. The fact of the matter is, is that the winter this quarter wasn't helpful by any matter of the means, but certainly the disappointment was primarily in the project business.  I think that when Scott gets into his discussions with you, you'll understand that our lighting business is pretty much on plan. (Technical Difficulty) I'm not sure what happened there. I hope you can still hear me. Something chimed in on us. Well, I'll just keep going and hopefully that won't happen again.  As I started to say, Scott will fill you in a little bit on the lighting part of our business. It's pretty much right on plan, actually exceeding plan a little bit as it relates to some of the things that are going on without some of that retail business..  I think David will obviously share with you his disappointment on the fact that we don't have at this point, or we can talk about any real big projects that were similar in design that we had last year in '07 as you all know, Dairy Queen and 7-Eleven, the Chevron program, he'll comment and is ongoing, and we believe will start to ratchet up. It was little bit soft in the third quarter. I think the most important part of the dialogue today will be to share with you the excitement that we have on the technology side.  We are introducing new products with the LED and solid-state. Fred and Jonathan will have some exciting news on some of the things that are starting to break loose, specifically in the visual boards, and as it relates to some of the stadium and some of the stadium projects that we have, and certainly last but not least, as looking at the overall guidance that we have given you, again, it's all designed around the conservative approach as it relates to the conditions of the economy. Please also remember that our backlog is running at an average of four to six weeks. It is very, very difficult in today's state of affairs to even go beyond that.  We're really not getting a lot of help from some of our larger customers as far as what their plans are. I think that we are looking at a wait and see mode that exists, but we really believe that with our technology business and the products that are not only starting – not only that have been introduced, but will be introduced is certainly going to start to create some more interest in LSI as a full-fledged supplier in this new technology program – process that we have.  With that, I would basically like to just turn it back to you, our audience, and start the question-and- answer period, and as these questions come in relating to lighting, I will guide the folks on our end to answer your questions every once in a while I might chime in to add a little bit more. But with that, if we may, please open up the Q&A. 
Bob Ready:  I hope we haven't lost her – I hope we haven't lost the hold, do we? Operator, still on the line? 
Operator:  Yes, sir. Our first question comes from Mr. Glen Wortman. One moment. 
Bob Ready:  Okay. What – is this a new group or something? We cannot hear the question being presented. If Glen is still on the line. I'll be darned. 
David McCauley:  Ron, Dave McCauley, here. Just Canton is still on the line. Fred, are you on the line?   Jonathan Labbee  That’s me and Jonathan Labbee online. 
Bob Ready:  I don't know what is going on here. 
Jonathan Labbee: I think the other side, the audience is not on line. 
Bob Ready:  I'll check. If you folks can hear me, bear with me as the gal that's handling the moderator, is she on line, can you hear me? 
Operator:  Yes, I can hear you. 
Bob Ready:  Something is not working. We're not getting these questions through to us, please. 
Operator:  Okay. Yes. The lines are – his line is open, but for some reason it's not coming through. Hold one moment as we fix this problem for you. 
Bob Ready: Thank you. 
Jim Ricchiuti – Needham & Co.:  Hello. 
Bob Ready:  Yes. Go ahead. 
Jim Ricchiuti – Needham & Co.:  Bob, it's Jim Ricchiuti, for some reason I got in. 
Bob Ready:  I tell you what, guys. I apologize for this. I don't know what is going on. I guess it's Murphy's law. When it rains, it pours, right? 
Jim Ricchiuti – Needham & Co.:  Well, what? Until some other folks join in, I have a few questions. 
Bob Ready:  You go right ahead, please. 
Jim Ricchiuti – Needham & Co.: Terrific. David this is one for you. Just given the slow pickup that you are seeing with some – on the large project business in the graphic, how much of that do you think might be due to the economy or is it just some other issues that may be weighing on this? Is this the normal lumpiness of this business? 
David McCauley:  Second part that you say, the normal lumpiness, yes, it is. We pulled some figures the other day since the Graphics Solutions Plus group was established five years ago. We’ve grown 61% in revenue, that's 10% average per year, but we’ve had those up and down years, which is the lumpiness you just talked about, and certainly this economy is not helping the situation, but we’ve been there before, and this is the third time in the last five years we experienced this dip, and we expect to come out of this. 
Jim Ricchiuti – Needham & Co.:  Okay. Okay. And then if I may, just on the LED display side of the business, I wonder if you guys can talk a little bit about some of the activity you’ve seen. I know there was a soccer stadium, I think in Canada, that you won some business and I wonder if you could elaborate on some of the other business that you've won in this area, as well as some of the plans for the international market? 
David McCauley:  Sure. Well, I'll let Fred address international, but this is David McCauley again. But I'll address those most recent boards we’ve received orders on. We’ve received as our notice said, the – a large award from the soccer stadiums, the high schools was one in there, Brian High School. The Fort Wayne Wizards, which is a San Diego Padre minor league baseball team, and then the king of all the deals, that we'll be supplying all boards, all the LED boards for the Jerome Schottenstein Center, Columbus, Ohio, home of the Ohio State University Buckeyes in hockey, and gymnasts and other indoors sports. That's quite the award for this premier in-door arena of college sports. There's a thousand foot of riven board and a beautiful large center-hung scoreboard/video board there. Now keep in mind when you total those, hits the equivalent to somewhere in the range of 15 billboards. Even though we don't have any large billboard orders in house now, we're still pursuing that market and negotiating with our favorite large vendors out there, and still cultivating the second and third-tier of the LED billboard market. So hopefully that answers your question. Fred, do you want to address the international side. 
Fred Jalbout:  Absolutely, what we are trying to do right now is sync the new technology that we double, plus the existing products we have, and bring it overseas other than North American market. We will have lots of advantages because of the low US dollar and the high euro in Europe, so the market – it's a very good market for us. We have a plan to attack the market in Europe and Middle East. So, we're putting plan together to penetrate this market. 
Jim Ricchiuti – Needham & Co.:  Fred, are you going to this market on a direct basis, or are you going to be using –? 
Fred Jalbout:  By using other company that exist, and they deal with the clients locally over there because they have to support the business and relate it to customer support and warranties and stuff like that, installation. 
David McCauley:  Jim, this is Dave McCauley, again, back to the LED boards, keep in mind, last conference, if you check your notes, I did mention that we had a lot of activity in these four orders that we talked about today, in just the board market are the deliverance of what I was talking about. And since last quarter, I have to say we nearly doubled our amount of bids and activity, so we expect more in the future. We're growing this market slow, but we're sure growing it. 
Jim Ricchiuti – Needham & Co.:  Okay. 
Bob Ready:  Jim, I would like to add something. This is Bob Ready. Personally I think I underestimated what the potential market was out there and certainly our competition. I looked at this opportunity, if you recall when we aligned ourselves with SACO, it all started strictly around the lighting part of our business, and if most recall, as we did our due diligence, we uncovered this, what we felt is a very, very interesting market in the visual boards. Understanding that SACO is a small company in those days and really was just struggling to get this great technology they had recognized in the market, I honestly thought with the size of LSI that we could get that in to the market much quicker, and obviously I was wrong. But what I like about it is that the time that has taken to get where we are today, I believe, more so than ever, that the technology that we have is going to get it and find itself into the marketplace.  We're beginning to find our way, and beginning to create the interest. It's that slower going, but it's one of those issues that you get excited about this technology, and I think that with the acknowledgement that we're starting to get orders, and certainly the recognition that we're in the business, is, in the months to come, going to show a much stronger return than we have in the past six months to a year. The economy does concern me, but there's certainly a specific part of that market with this technology that I believe people are very, very interested, that can afford it, and we'll see some of these products start to move in. You combine that with what we're doing with the lighting, which I'm sure there will be questions. This is where I'm looking toward the growth and certainly establishing a stronger market potential with this technology than we have in the last 20 months. 
Jim Ricchiuti – Needham & Co.:  Okay. Thank you. I'll jump off, if somebody else wants to jump in. If not, I have got a couple of other questions. 
Operator:  Okay. We'll open the line now to Mr. Peter Lisnic.  
Diane Chime – Robert W. Baird & Co.:  This is Diane proxy on for Pete. Can you guys hear me? 
Bob Ready:  I sure can, Diane. Thank you. Yes. 
Diane Chime – Robert W. Baird & Co.:  Okay. Great. Yes, couple of questions for you guys. First, just wondering if you could provide an update with the Crossover, how that product is sort of gaining traction in the market, and when you might expect to see it start hitting results? 
David McCauley:  Well, actually, we've started manufacturing the product during the third quarter and shipping the product during the third quarter. We – as expressed in previous conference calls had a lot of interest – excuse me – and excitement about the product concept. We're happy to announce that we're all currently getting orders for the product. Now like the active digital visual board, I think to a certain degree the technology in this case being new to the market is going to take a little bit of time to generate some real momentum and generate some real traction that will directly translate into the kind of results I know we are all looking for. We're very, very confident that we're going to see those. It is difficult to determine how long it’s going to take. We have introduced a third variation, if you will, of the product just recently, and that broadens the market opportunity even more. It's a higher lumen production product or output product. It generates more light. It does so at a very, very efficient level. Again, relating to the efficiency that we generated in the first version of the product, and we believe we're going to be in a tremendously competitive price point on this product that will begin, again, to accelerate the adoption of the technology. We're designing sites every day. We're receiving orders every week, and we're very, very satisfied with our progress so far. 
Diane Chime – Robert W. Baird & Co.:  Excellent. Okay. That's helpful. And also, I know you talked a little bit about graphics, and just about the program rollouts, I was just wondering if you could comment on just the quoting and bidding activities right now, or just your general feel towards what’s going on there? 
David McCauley:  Sure, I can. This is David McCauley again. 
Diane Chime – Robert W. Baird & Co.:  Okay. 
David McCauley:  Keep in mind that the quoting and the activity I was talking about earlier, not to be – was not to be confused with our – what we consider our life blood standard graphics. I was talking about the LED board market. Now as far as the projects quote and activities, it's sure not as robust as it was last year at this time. 
Diane Chime – Robert W. Baird & Co.:  Okay. 
David McCauley:  There are projects that we're bidding on out there of considerable size. It's just a matter of can we win them and when will they hit? We're against the grain here with this economy. But it isn't like we don't have opportunities in front of us. We surely do. 
Bob Ready:  Diane, I would like to add to David's comment. One other things that I think will help us be more effective is the realization that these bigger projects that we've enjoyed for the past four or five years have been very important part of the growth of the company. We have not only had the ability to do these larger rollouts, but we’ve also because of those, added more customers to our customer base. The recognition on the day-to-day business is obvious, but this an area that we have to consistently grow. And we're taking the approach now by investing into some additional sales direction. And by that I mean, we'll be hiring some more people that we believe will bring us on the sales specifically, bring us into new markets, and this is where we're going to generate the growth. Even in a soft economy, LSI is a market-driven company, has been for 32 year. The strategy is absolute, and the fact is that in the recognition of where we're going to take this technology, both the LED and our printing technology, we recognize that the only place to really continue on to build a revenue is to have additional market penetration on our existing market, and develop new markets that we're not into yet. And I think that as time goes on, and I know that time is always that big magic question, we'll be announcing certain aspects of that in these markets and how we're going to penetrate them with the direction that we're going to take. We recognize that this is where the growth is going to come, and then when that rollout program, similar to the past, comes into play, then we'll be ready to participate and roll that program out from a production standpoint. 
Diane Chime – Robert W. Baird & Co.:  Okay. Okay. And just as follow-up, is the sales increases that just on the graphics side, or is that throughout your corporation? 
Bob Ready:  Well, I think in recognizing the fact and in my career, I’ve been through these downturns in the economy. The focus is obviously very strong on the sales side. We’ve spent years developing the manufacturing process, and the support mechanisms are in place, customer service, financial direction, all the things that go in to an organization like ours are in place, and that's why we’ve been awarded in the past, these large rollout programs. We have the capability of handling that kind of volume. Now based on those programs being either not in place, or in a softer economy, now the real structure comes in to a tremendous sales effort, taking all of that history of the company, the strength of the company and going after new markets and new customers, which we’ve done very, very well over the years. It takes a little bit of time.  We're in an environment right now where we're really not getting a lot of help from a forecasting stand point from our basic customer, which is really – obviously puts a lot of pressure on ourselves as we're trying to give you guidance, the market, guidance on what is yet to come. But I believe that with the efforts that are in place, and it's coming in to our '09 strategic planning process. We're in that process right now. We'll be delivering the strategic plan to the Board in person on June 12th. So, in that plan, there is a tremendous effort now being structured from a sales standpoint. You tie that in on a domestic approach, and, as Fred can get into a little bit more detail, we have to be careful based on what we're going to share with you, but there's no question in my mind that we, as a company are ready now to go after the international market.  We’ve been very reluctant to do that, having the capability – not having necessarily the capacity to take that on with these other programs that were in place, but now we are in a position where we can take on additional markets. The international market has been – as has been said, I think brings great interest to us because of the strength of the euro and certainly now that our technology is at the level where we have multiple products, and we have some new things to talk about, which I hope we have time to do today, that will come out of Montreal that really excites us to bring that specifically into the international market.. One of them being the entertainment package that we now have received one, two, three orders, I believe – or we have two and a third one coming. Not going to get into a lot of detail with that, but we know now that we have certainly a product that we believe will be of interest, and then you tie that in. We believe the Crossover, we're going to start over marketing on an international level.  The European market, as an example has higher costs– energy costs even today than we do. So with some of this technology that we’ve developed as Scott mentioned, we have a third version of the Crossover that is just going through the final stages of UL, or ETL. Those will be coming out within the next few weeks. All of these technical direction has all been stimulated and developed over the last 20 months, and we're right now ready to really announce and introduce that in all of the markets that we feel these products will apply. It is a little different approach than in the past. It's an approach that I think will help LSI in the future. 
Diane Chime – Robert W. Baird & Co.:  Okay. Thank you. That's helpful. I'll – I guess I'll get back in queue. 
Operator:  Okay now we have Mr. Glen Wortman. 
Glenn Wortman – Sidoti & Co.:  Good afternoon, everyone.  
Bob Ready:  Hey, Glen, finally we found you. 
Glenn Wortman – Sidoti & Co.:  Yes, exactly. I was wondering may be if you guys can get more specific on your, maybe on your FY '09 revenue goals or expectations? Maybe give us a range for the Crossover product? Maybe some of your other LED offerings? 
Bob Ready:  Well, I think it's a little early to go in to the '09, Glen. But I think we can share with you the feelings that we have based on the acceptance of the technology with the Crossover. Now, if you remember, in months – and I'll let Scott get in to more detail, but as a reminder, we’ve been talking about the fact that the Crossover in essence was really the platform that we wanted to develop the technology, the understanding, the production capability, the technology that will really develop new products. And this is the technology now that we can put different wrappers, which are really housings, and that's the way the lighting business basically works, is that – and we're in that process right now, and I'll turn it back to Scott to who’ll go ahead and give you a little bit of flavor as it relates to the – our estimates as far as what that volume will be. 
Scott Ready: Yes, Glen. As you know, and than as most know that have talked with us in the past, we don't forecast specific product families in terms of volume, but certainly, we expect the technology adoption both in the Crossover and the various variations, if you will, of that product, in application in other markets to begin to form the basis, if you will, the lighting volume for exterior applications for many years to come. It's a going to be a slow process. It's certainly a more expensive technology on the revenue side. Certainly the number of units that we are able to produce is wide open, and the dollar price per unit, obviously is much, much more attractive to us creating revenue than the older technologies, but the economy and the specific industries, the petroleum industry, as an example, are certainly going to have a factor on how quickly the volume grows on these products. I don't think it's really anything that is predictable at this point. 
Bob Ready: But remember, also that in our excitement of the product, we had literally developed the product around an LED source that was produced, that was going to be produced by Phillips, and then as we – the week that we were ready to get in to production, there was a callback on that. We're not – I mean, everybody knows it. It was one of those unfortunate things that happen, and it set us back about six or seven weeks. Actually there are products going out as we speak. There's product in the field that hasn't even been installed yet. So, the process of the prototyping and analyzing what this technology will bring to the customer is still very, very much in its infancy. What’s exciting to me is that we have better arms around this technology, we know what we cam do with it, and we feel confident, and very confident that the technology that we have spent 20 months developing is now going to be expanded in other markets with different products.  For example, in the parking garage industry, we’ve already now starting to work with some very large specifiers in that particular market with a version of the Crossover. It looks different, but it is the same technology. We're certainly looking at soffit lighting in the banking industry, that for example, as it relates to the ATM, and as Scott said, this is so new in understanding that the first products were only been shipped in the last six to eight weeks. It is so early to before we can really tell you what the market is going to be comfortable with as far as accepting the pricing and understanding the ROI, which is energy reduction and maintenance, all of this has to be – all this education has to be developed in the marketplace, but it’s technology that everybody is aware of, and I think that again using my number of years of being in this business, I don't think that I can ever recall having such a large customer base that is so interested in LED technology. That's half the battle. It's not all of the battle, it's only half of it. 
Scott Ready: Yes. And I think that the critical point for us is the timing. We're not too early, and we're not too late. I think our timing in this is dead on, and I think the technology supports it. I think the markets will come to support it, and I think we're in the markets early enough that we're seeing some of that adoption challenge as to be expected, but we're in there early enough that we're going to have a tremendous advantage and opportunity to grow that volume as the market becomes accustomed to and accepts the technology in general. And I think that's what’s most exciting, as we’ve got a product that frankly all of the indicators that we would pay most attention to, the cost indicators are going to be coming down, the energy costs, which are indicators for the customer are going to be going up. The potential rebates and incentives that the government and the utilities and the states will provide will continue to increase. So, all of these things are aligned in just the right way to continue to motivate the market to adopt this technology.
Glenn Wortman – Sidoti & Co.: Well, give me a example of what happened with the government.
Scott Ready: We've had one of our success stories. We had a prototype opportunity to quickly translated into a global acceptance and specification for facilities controlled by the Department of Defense. Now, as we all know the Department of Defense, under direction from the federal government in general, and programs that are motivated by the Department of Energy, are looking at all federal facilities to generate more energy efficient solutions. We were very excited to be able to participate early on in the program, provide them with a prototype, have them do their own independent evaluation of the product and its performance and come out at the end of that thing – the end of that process, excuse me, with a very, very firm level of support to the point that all of their new projects, all of their retro fit projects moving this point forward, for fueling facilities on federal military bases in the United States will carry the Crossover from this point forward. Now is that significant in terms of volume that is going to directly translate into quarterly, results? No. Is it significant in terms of leadership in the market and adoption of technology? Absolutely. And it gives us a very, very strong case-based marketing tool to use, and frankly it really puts the money where their mouth is in terms of the federal support – federal government support of this technology. So we're very excited about being named the specified product in that project. 
Bob Ready: I think and understanding how Wall Street is looking forward to and really we are in the same manner direction – the same concept as far as looking for volume, that we're going to be very, very guarded as far as how we're going to guide Wall Street with what the volume potential is because we know the potential is there. We know that the return is there. We know this energy reduction, we know the maintenance. But it takes time for people to go out there, to try the product, and then where they specify it. And I think that the approach that we find ourselves in now is that we're expanding that product line into more markets where we know there's volume potential. Now where that will bring us, it's too early to tell. And I can assure you of this, as these things start to become more specified and you start to see these things rolling out, you, Wall Street, will be the first to hear about it because that's why we're developing this new market direction to bring LSI into these new high-volume market potentials using technology that we know will be tomorrow's technology as a specified product in the lighting industry. So, it may sound like we're not willing to stick our neck out and tell you unit volume because right now, we don't know what that unit volume will be. But we do know that the markets, that we are developing this technology and products for, have huge potential as far as volume potential. 
Glenn Wortman – Sidoti & Co.:  Okay. I appreciate that. Also just one other question on the commercial industrial side, there are signs of a slowdown in non-residential construction. If that deceleration is realized, do you guys have any plans to may be compensate for that through new agent relationships or perhaps some acquisition opportunities? 
Scott Ready :  Yes. Absolutely. All of the above, I think, Glen. The strategy in the commercial industrial market is pretty straight forward. We're a smaller player in that market. We're working hard to pick up market share from frankly the market itself. We have been very successful so far in doing that. We were growing at rate that is comparable or better than the comparables that we all watch that are primarily dedicated to that market. The agent relationships that we have continue to improve because of frankly our ability to improve our product offering and our service levels. Acquisitions in terms of filling out and adding to the product line are a part of that strategy. We continue to work aggressively to bring into the fold, if you will, new product offering, both from internal development, solid-state lighting product development, as well as traditional lighting technology development, and work towards leveraging our service and frankly our incentive and commission programs to generate more and more loyalty and volume from agents that are in that marketplace. I think it's working very well. I'm very happy with where we are. We're really right on plan as far as the commercial industrial market goes.
Bob Ready: Yes. And I think the other thing is that LSI brand is becoming more and more acceptable in a highly competitive market with a market that’s been controlled by four large companies for a number of years, that's not an easy battle out there. When you take on those four big companies, but from my perspective, the investments that we’ve made, and the acquisitions that we’ve made, and the product line that we’ve developed are strengthening our position in that market. And then you combine that with the ability to take this new technology right in behind the strength of our market penetration that really solidifies in the market's eyes that LSI is a contender, is a company that has great potential for growth. We have a sales force now that’s become more educated, and from a comfort standpoint, even with a soft economy, I think that our ability to grow in the CNI market is going to continue, and we’d love to see a stronger economy, and still nip away at some of that market that our competition, that we’ve constantly been doing. We’d love to see the combination of that in a stronger economy. But it is what it is, and we're going to continue to develop or continue to enforce the strategy that's been developed over the years to penetrate the commercial industrial market. And what will happen in the years to come is that recognizing there are certain holes in our product line, or even in the marketing part of it, that is obviously part of the strategy of an acquisition, so that there's a multiple process in place to strengthen and grow the CNI market. It's a big market and we recognize it, and we now have a name that I think that we can put up against the other four, not in size but certainly in product quality and certainly a strategy, and we're getting recognized for that.
Glenn Wortman – Sidoti & Co.:  All right. Thank you very much. 
Bob Ready:  Thank you. 
Ron Stowell:  Before our next question, I would just like to refer the listeners to our Safe Harbor Statement, and indicate that we have no material non-public information to discuss today. Thanks. 
Bob Ready:  Thank you, CFO.  
Operator:  We now have Jed Dorsheimer. 
Bob Ready:  Hi, Jed. 
Jed Dorsheimer – Canaccord Adams:  Hi, how are you? 
Bob Ready:  I'm fine, how are you? 
Jed Dorsheimer – Canaccord Adams:  Good. Couple of questions for you, in terms of, Bob, in terms of this new move into the international markets, could you maybe shed some light, no pun intended on some of the analysis that you’ve done to support this decision? I know that the currencies are stronger, but what other work have you done to come to this conclusion? Thanks. 
Bob Ready:  Well, first of all the international market is not new to us. We have definitely been certainly involved with it for a number of years. I think that Fred and Jonathan might get a little bit more of a strategic direction without getting too detailed, but I think it's the recognition, Jed, that we have a product line now, and it's going to start in the entertainment business because of the interests that we have in this new product. I'm not even sure that we have a final name for it yet, but we'll talk a little bit about that in a moment. I think that sets the stage and opens the door to get the LSI brand recognition into the marketplace. SACO has already had that on an international level prior to our acquisition. And I think that from my point, the strategy is very simple, is go to school on what you’ve already developed, SACO has got any brand, they’ve got the entertainment understanding, and certainly the recognition. We have a new product that's going to fit that market. As matter of fact, we’ve already received the first order for about $2.3 million to – and I just – there's more than that coming, but they can fill you in on more of the detail. But in the strategy of what you asked, it makes sense to me that as we become more recognized in that brand of entertainment, that we play off of that with some of these new products that we know will fit the same – the European market, the Mideast market, they’ve got service stations. They certainly have parking garages, and when you look at it from a worldwide standpoint, it only makes sense, with some of the contacts that Fred and his folks have, certainly from years of all of the years that they have been doing it is, let's get that information out, get those contacts, start to develop those markets, however small they are, however large they are, it get that LSI on an international plane, and we have got the production capacity to support it. 
Jed Dorsheimer – Canaccord Adams:  So is this billboards? 
Bob Ready:  It could be anything. And I'll let Fred and Jonathan tell you about that, because there has been definitely interest and direction in some parts of the market already, and that's why we're now finalizing our strategy, or developing our strategy to get into that market. Fred, why don't you touch pace on that if you would please? 
Fred Jalbout:  Yes, absolutely. It's not only as a billboard, there is a lot of other applications. Actually we will be activating a customer list that we have already. As rental company that we know very well, they have used our product before. Some client who actually does lots of work in the stadium and arena. So the advantage today by having the new product, we're launching a new product and we have order already in the entertainment business and when those product goes with the band, they do that the tour worldwide, they don't just do it just here. We're coming to take advantage of those tour of where the new product will be displayed everywhere in the world. And we have very good experience how to deal with Europe markets and the Middle East markets. And right now they start showing a lot of interest in billboard advertising, LED lighting and all this is we're going to do it though local company that we know already in different country, so they can service, they can install, to bring our costs down of exploiting this strategy. 
Jed Dorsheimer – Canaccord Adams:  So, the $2.3 million, was that for billboards or a different product? 
Fred Jalbout:  Entertainment. Jonathan, can you explain a little bit more about that. 
Jonathan Labbee:  Hey, Jed, this is Jonathan here. 
Jed Dorsheimer – Canaccord Adams:  Hey, Jonathan. 
Jonathan Labbee:  Hi. The number that you just mentioned is for an entertainment job. Actually, there's two jobs within that number, two bands that are going on tour starting June. But we're not limiting ourselves just to the entertainment. We're going to be using that as a springboard to re-enter the European and the Middle East market. Just also so you know, we just shipped last month, we did ship additional sign to France, to Paris, one of our brand new 6 millimeter boards. So we went down there. We explored a little bit with some of our contacts that we have down there, looked at how the market is reacting over there, and obviously the economy is going to help because the euro is very strong, and they want to purchase high-quality products. The Europeans have a slightly different mind set than the North American market when it comes to solid-state lighting and digital products. They tend to go with less large jobs, but they do a lot of multiples. 
Jed Dorsheimer – Canaccord Adams:  So the products for the $2.3 million, though, then the two projects that are embedded, just so I have an understanding, those are for billboards that are going on tour and not –? 
Fred Jalbout:  Not billboards, it's for a display product – 
Jonathan Labbee:  Music – it is for a music band that is on the stage. 
Jed Dorsheimer – Canaccord Adams:  Yes. So, it's a digital display using LEDs. It's not, for example, a color-changing wall-washed light, correct? 
Jonathan Labbee:  No, it's a full video display. 
Jed Dorsheimer – Canaccord Adams:  All right. 
Fred Jalbout:  What it is, it's two products that we developed recently using a new technology platform that we developed for the video products that we have, and the customer actually came here in February. Loved it so much they gave us the order on the spot. We started shipping it last week, and two days ago we just got another order. So, actually this summer you’re going to be seeing four major bands traveling with LSI gear. 
Jonathan Labbee:  It's a unique product that nobody else has it. 
Fred Jalbout:  Yes. We're going to be talking a little bit more about this in the coming months in terms of the technology and stuff like this. Now the great thing about this is that this particular technology platform doesn't just influence our video products, it's going to be influencing, or has the potential to influence all of our lighting products as well. 
Jed Dorsheimer – Canaccord Adams:  All right. Well congratulations on the win. Should we look at the – I guess the revenue per band, if you will? So if there's four or five, should we – and it's $2.3 million for two, should we just extrapolate and assume that it's sort of a $1.5 million – I mean $1.2 million or $1.15 million per band? 
Jonathan Labbee:  Well, no, because each band, they always try to outdo each other. So, it's difficult to classify it that way. 
Jed Dorsheimer – Canaccord Adams:  All right. 
Fred Jalbout:  Could be the minimum.
Jed Dorsheimer – Canaccord Adams:  All right. 
Bob Ready:  I would like to add one more thing to this conversation a it relates to international, Jed. As you are well aware of the technology in the solid-state, and one other things that stimulated my interest in the international market was the fact that the driver or the solid-state driver that we’ve developed can operate both in the North American and the European or the 60-cycle and 50-cycle as a single unit. In the past any light fixture that we would develop and sell beyond the shores of the US or the North American market, we had to have two separate products, two separate ballasts, and now we have the ability to have one product that does it all. And with that interest, and this technology being so new, there's no reason with some of the contacts that we have, some of our folks that are actually brokers that work on our behalf on an international plane, to get more of that technology out into the marketplace using our brand, and getting more recognition. You tie that in with the entertainment, which is a big visible part of the marketing strategy. It starts with getting a brand recognition of LSI Industries beyond the shores of the North American market at a stronger position than before. It's a product that's more universal. There are markets tout there that are similar, so you bring those markets that you are developing for the North American market into an international plane. When that brings us in dollars? I think it's too son. This is new to us as it relates to that strategy. We're going to be very careful, but on the other hand it makes a lot of sense because if the product will work here, it will work across the pond, why not go out and find a way to sell it. 
Jed Dorsheimer – Canaccord Adams:  Great. And then Scott, just moving over to the Crossover, the military project that you mentioned, how many units is that for? 
Scott Ready:  Well, we don't know exactly what their build schedule is going to be. Again, here we are talk about timing. And again, frankly lack of information from the customer. They have a number of sites they build every year. They have a number of sites they retro fit every year. It really depends upon their budget and the degree of speed. Frankly, upon which they want to retro fit. That's the biggest opportunity. Their new construction cycles on these military bases is limited. 
Jed Dorsheimer – Canaccord Adams:  Do you know how many sockets are there? From a retro fit perspective, do you know how many fixtures are currently in per site? Is there an average that –? 
Scott Ready:  Jed, nothing that I feel comfortable sharing right now. Again, it's early on in the research side of it. We have to have to gather that information through not only surveys but from the customer themselves. In the coming months we'll be doing that, but at this point I really don't want to venture a guess that might mislead us. 
Bob Ready:  I think too that to add to that, Jed, as you will know this technology being as new as it is. I think the more important part of this particular story is the fact that the government upon its own direction took its own initiative to go out into the market and source these types of products and do their own testing. And then they came back after they did that, and said LSI you’ve got the technology. Whether it's 100 units, or 1,000 units, from my point of view, it's the beginning of a recognition that this product will do what we tell it will do. The government doesn't accept the marketing direction. In other words you’ve got to prove to them that this product does what we say it will do. And that to me is a very important part of the success story as we move into other additional opportunities that we have these kinds of places to start and to share with that customer that this isn't just something that a manufacturer has dreamed up, and is marketing. This is a product that does what we say it will do, and we’ve got the stamp of approval by the US Government Defense Department. 
Scott Ready: And look at the timing involved, Jed. You are very much aware of the daily programs, the evaluations that are taking place as case studies and so forth in order to prove the technology of the marketplace. Most of the programs that I’ve reviewed involving other products, other manufacturers have taken months and months and months to work through. We didn't start manufacturing this product until, frankly, the beginning of March, here it is really just a little bit into April, and we're already achieving that level of acceptance. So we're very excited about what that says about the product and the technology itself. . 
Bob Ready:  I think the ongoing success of this product, Jed, and others, will LSI's continued direct approach in bringing cost down. We all know this technology is more expensive. It is – and we have been there before with every new product that creates a new direction. They always come in at the higher price. We’ve seen technology in costs coming down. The costs of the white LED is coming down, and as our technology is where it is at our production, and the improvement, as we said we're already in our third version of this product in less than a year. Even before the product was actually launched, that’s only been out on the market officially, six weeks. I think there's a tremendous amount of promise of where this technology is going to take us. Obviously, the petroleum industry as we said before, was for us probably the best place to start. There's a tremendous potential on a retro fit opportunity. There's a lot of cost savings in both energy and maintenance, and the marketing strategy has been somewhat disappointing in the fact that we started with the key guys at the top of the line with the petroleum market and never got the kind of reaction that we thought we might, which gives you the indication that in today's world, they don't always necessarily speak out of both sides through their mouth in the right direction. They talk energy conservation, but when it comes down to practice – So we’ve got to drive this even harder and with more passion, and that will come with time as these products actually are seen under these canopies and people begin to see the value of what they're actually going to. 
Jed Dorsheimer – Canaccord Adams:  Great. And then just a couple more questions for Ron. Ron, what’s the current backlog? 
Bob Ready:  Not big enough. 
Ronald Stowell:  Yes, not big enough. I do not have that with me, Jed, but there is not a significant change at all. 
Bob Ready:  Yes. We don't have any big rollout programs in-house yet, Jed. So it's a normal backlog for this time of the year with the exception of some of our bigger marketers out there that are wait-and-see attitude. You know who they are. We are anxious to hear from them that they are going to start releasing some. The larger of our customers did indicate that they are ready to release, but I'm at the point now, prove it to me with an order. So when we start see that happening, you can bet your life that we'll the market know as well. 
Jed Dorsheimer – Canaccord Adams:  I guess the reason for my question is as we look at this quarter's guidance, what turns are required to hit the guidance, in other words, book and ship this quarter? 
Bob Ready:  The guidance that we’ve given you right now pretty well tells the tale of where we think are based on our own forecast. And it’ll be our job to crank that up a little bit stronger, and actually come out with better results. That's the job that we have ahead of us. 
Ron Stowell:  Jed, I did have the backlog with me, and we're in that four to five-week range. Now that may include the more recent orders that SACO has received on this entertainment screen. 
Jed Dorsheimer – Canaccord Adams:  All right. So it sounds as if about half of the 66 to – or taking the low end, about a half of the $66 million, you have visibility in to, and the rest is turns? 
Ron Stowell:  No. It’s less than that. We’ve got four to five weeks is all in backlog at the moment. 
Jed Dorsheimer – Canaccord Adams:  All right. 
Ron Stowell:  But that's pretty standard. 
Bob Ready:  But that's standard. 
Ron Stowell:  Yeah, no material change whatsoever. 
Bob Ready:  That's consistent with this time of year, and consistent on whether you have a big year or you have a softer year. That's nothing unusual Jed. 
Jed Dorsheimer – Canaccord Adams:  All right. 
Ron Stowell:  The only time it was bigger was when we had the Dairy Queen backlog about a year ago, and nine months ago. 
Bob Ready:  Yes. That’s true. 
Jed Dorsheimer – Canaccord Adams:  All right. Fair enough. And then two more questions. Are you cash flow positive right now? 
Ron Stowell:  Yes, we are. 
Jed Dorsheimer – Canaccord Adams:  You are. And then I'm just curious, given the slowdown that you are having in the business, what’s the logic behind keeping your dividend as high as it is? 
Ron Stowell:  Jed, we think that return to the shareholders’ is important. We can grow our business, and invest in working capital at the current level. We don't think any single particular quarter should make a huge difference or make a short-term decision on what direction the dividend would go, whether that be up or down. I think the Board will address the dividend as we get the fiscal '09 plan in hand and address that with respect to our dividend policy that we’ve announced. 
Jed Dorsheimer – Canaccord Adams:  Got you. So, just I'm trying to get into the mind set of where you think the current business is at. It sounds as if by keeping that there, you are expecting sort of a snapback in the fiscal '09 period? Is that the right way to look at that? 
Bob Ready:  Let me answer that, if I can. I think – this is Bob. I think from my perspective as I look at this, the area that we are really holding our strongest confidence is in the technology size – side, as it relates to the sports boards, the billboards. It's not going to take many of those to really start offsetting some of the softness that we have in the standard economy business. It certainly will take an opportunity with one program that could start to rollout tomorrow. That's the nature of the beast, as you well know, and I think from my point of view, we understand the economy. We certainly are the type of company that I have a strategy they use. It's plan for the worst, and work for the best. And with all of the negative press it’s going around about the economy, and the way that seems to be creating its own problems. I would look at our business plan with the same strength and enthusiasm that we’ve always had, and yet we’ve got more going for us today than we have ever had before. This technology – and we're not putting our whole future strictly on a short-term basis on this. We know it is going to take some time. But we know we’ve got a damn good board from a billboard. We know we've got a great sports package. We believe we’ve a better one than our major competitor out there. And we’ve got to get these sold, and we’ve got to prove to our market, folks, that we’ve got these kind of products. And when you look at the cost, certainly the revenue opportunity with those products versus just selling light fixtures and decals is a project for the graphics business, I think the hope and certainly the expectations are right on course. But with all that said, we want to be as conservative in our approach that we can with the market because there's no way that we can tell whether this economy is going to tank any further and create even more hardship on our standard day-to-day business. 
Jed Dorsheimer – Canaccord Adams:  All right. Thank you. 
Operator:  Okay. Now we have Robert Pulaski [ph]. 
Robert Pulaski – Financial Institutional:  Good afternoon guys.  
Bob Ready:  Robert, how are you, sir? 
Robert Pulaski – Financial Institutional:  Doing all right. I'm with a Financial Institutional [ph]. And I just have a question about how you are able to not have any deleverage on the gross margin side despite the fact that revenue was down 14%? 
Ron Stowell:  Well, I think it’s a matter of product mix. It's a cliché perhaps. We’ve worked hard on our material costs. We certainly are having some increases. But overall, I think it's just a mix issue that has brought things in – on par. 
Ron Stowell:  Yeah, I think product mix has a lot to do with it, Robert, as it relates to us as a lighting manufacturer. Certainly, on the graphics side volume is very, very related to that improvement. But more importantly, I think this company is a very, very well managed, and I'm not taking credit for it. I'm just establishing a fact in cost containment. And we work on it every day no matter what the conditions of the market or what is going on around us as it relates to sales. And I think that we can continue to stay in that same mode that we have no matter what the conditions are. If things get worse we will strength the direction as it relates to taking whatever direction we need to take to keep this company profitable and be able to support the direction of its future. 
Robert Pulaski – Financial Institutional:  Okay. And can you give a sense to what percent SG&A increase was due to the increased, I guess testing – spending on testing of LED product line? 
Scott Ready:  Not very, very much there. I think this is a process that’s well entrenched within the company. I think the development process is certainly as a whole behind us because we have been working on that for 20 months. When we acquired SACO and had a full understanding – and remember you may be a new player because I didn't recognize your same, sir. So as a quick review, we got into this opportunity to work with SACO as a result of a project that came out of the New York Port Authority. That is still ongoing and we have high expectations for that, and it started with a tunnel light, and then it moved into what we call a necklace light for bridges, and as we started to understand more and more what the SACO company offered, that's when we got into the acquisition mode, and then we acquired them in July of '06, and in the last 20 months, we’ve taken that relationship, and really developed these platforms that we’ve spoken about. And as we go into that, a lot of that work has already been done, all of that testing has been done, all of the development has been done, and I really don't see, unless something breaks through that's really even more new and interesting, that we're going to be able to build on that now, and those big – major costs more or less are right behind us. 
Ron Stowell:  On a year-to-date basis Robert, our R&D costs are a little over 1% of net sales, and that's up about 50% from what it was last year. So with that – and that's on a year-to-date basis. The quarter was only slightly higher than that. 
Scott Ready:  The interesting part of this, if I may, the lighting fixture business on the basis of a production standpoint is basically this technology that we have. I call ourselves nothing more than a builder of boxes with bulbs in them. And this new bulb, this white LED is certainly a much smaller bulb, and the technology that goes into driving that bulb, the nice thing about it is that we own all that technology more or less for ourselves. In prior years, all the years we've been doing this, we depended on somebody else with that technology. The light fixtures of the future are certainly going to be smaller, less weight, less metal. We're more automated today than we have ever been with a major investment just about a year ago on a system that's a complete sheet metal system. So, in essence what I'm saying is that in the development process from a cost standpoint, we've already got that in place. 
Robert Pulaski – Financial Institutional:  Could you give more substance about what the driver for the SG&A increase was? 
Ron Stowell:  Yes, a lot of it is commissions. When we have a longer performance in light – shift of sales to lighting, especially in these commercial industrial lighting market, where Scott has indicated we had on the quarter an 8% increase over last year, and in a 9-month period, a 9% increase over last year. That carries higher commissions. We're motivating the reps, so that keeps it up. Last year we had $590,000 favorable reversal of a contingency – loss contingency reserve, and of course we didn't have anything of the sort this year. But those, I think were some of the major items. Anything else would be really discussion that will come out at MD&A sometime next week. 
Robert Pulaski – Financial Institutional:  Okay. Thank you very much for your time. 
Bob Ready:  Thank you. 
Operator:  Okay. Last question, Mr. Rick Dotae [ph]. 
Bob Ready:  Rick Dotae. 
Rick Dotae:  You’ve got it. Couple of things, on the last call you guys talked about making 10 boards and committed to having them all sold by June 30th which is your fiscal year end. Where are we on that process? 
Bob Ready:  I love you. David, I'm going to let you answer that one because you are the one committed to the sale. 
David McCauley:  Sure. I'll stick with that commitment. Then we are in negotiation with one of the large players out there, and I hope to have those sold and have another 10 or more for the first of the '09 year, Rick. 
Rick Dotae:  Are those 10 boards in your guidance? 
Bob Ready:  Not necessarily are they in the guidance. Let me answer that a little bit more direct, if I may. I think David absolutely did the right thing in saying, with the delivery schedules on certain materials we're in this business, which are certainly different than our standard lighting business, that we really needed to get these boards into production, and get these materials on order and into production. So that when we could break this thing lose, we were able to ship right away. So that commitment was made. David stepped up on the fly paper so to speak, and said we're going to get them sold by the end of March. The process of doing that is ongoing now.  Let me share with you what our feeling is that this part of this industry, the billboard industry, this is just my opinion now, is that it was very hot and heavy for what about a year and a half to two years. And I think now the industry is standing back a little bit and saying, we better understand a little bit more of what’s going on because as I understand it, there are a lot more problems out there with some of these products than initially thought. Our products I'm glad to say with the exception of that radial de-failure [ph], are doing pretty much what we planned them to do. Yet with that said, there were only five months into the process. I think that the industry overall has taken a harder look.  What I like about our position in that, is excited as we are about the potential because I’d tell you what, Rick, I’d love selling the opportunity of selling a board that may be $300 to $350,000 worth versus a fixture that's $300 to $500. And you have heard me say that before. I think where we are right now is I think the industry is evaluating itself some what. I think that where we feel we are in relation to our competition, as we've said this before, we believe it today. We believe we’ve got a better board. When LSI stepped in to the picture, we asked a lot of questions.  The SACO company had a good board, but when LSI acquired SACO, and we were prepared to put the LSI brand on the next board, we wanted a better understanding. That's the way we’ve operated for 32 years, and we follow the same strategy that we’ve done with all new products in all new markets whether they be lighting or graphics or now the billboard. We’ve redesigned that board. We haven't shipped the first full redesigned board yet, but that's the one that’s in production, and I think in our negotiations with some of these potential customers now, that we think are going to look at us with a little bit more detail.  This is where we're hoping that our board will certainly find its way in to the process. Now with all that said, I'm still looking at that volume production of anywhere from 50 to 100 as a starting point. And the reason I say that is I think that's a good start for a brand new player in a big market, and I want to have a full understanding and fully in control of our destiny as we put these out into the field, and see how they operate under the conditions of being an outside exterior board. 
Rick Dotae:  Okay. 
Bob Ready:  I think it is the right move for us because we have also a very straightforward approach on the sports side, which is a whole different market, but a similar technology, and we're going to go after that with a vengeance, and I think the first acknowledgement is certainly now that we could even mention the name, we couldn't do it yesterday in the press release, we got a release today, it's Ohio State. It's one of the biggest schools in the country for sure, and has one of the biggest sports programs. And we are very, very proud of the fact that we are going to supply that Schottenstein. David, help me. 
David McCauley:  Yes. The Jerome Schottenstein Center. Keep in mind, we also do their football stadium, and that was erected in 2001. So we have a good history with them and expect to attack the rest of the big 10. 
Bob Ready:  Now, when is that to be shipped, does anybody know? 
David McCauley:  Yes, that's September install. 
Bob Ready:  With a July shipment thereabouts?  
David McCauley:  It’s probably an August shipment. Bob. 
Bob Ready:  So, it’s a September installment, and Rick I think from there I go to the base of the fact that it's great to have a school of that image and have our product in there, and now the proof of the pudding is going to be in the eating and we produce this product for them. 
Rick Dotae:  Okay. And then I just have one question for Scott. You outlined a slow methodical rollout of the Crossover, and, one thing, I guess you got to start to walk before you run, and are you seeing any of the major – how many of the major petroleum companies are committed today to testing the product? 
Scott Ready:  Committed to testing the product? The market being the market that it is today, our approach, frankly is more focused on the non-major independents that are actually flying the major flag but own the facilities. And we are talking to majors. They move a lot slower, frankly, than the independents, and again, having only been in a position to ship the product over the last six weeks, I guess I would characterize it to be accurate as there is a lot of interest, interest from the majors. We don't have a current commitment from any one of the majors to a specific job location. We are in the process of discussing specific job locations with them now. So yes, the interest is there, the commitment on a specific job location is not yet there, but we expect some of those shortly. 
Bob Ready:  To add to that, Rick, if you follow history as we do, you go back to 1995 when we introduced the Scottsdale. Obviously the market conditions were different in those days and the majors in those days had a lot more stores than they do today. We’ve seen a tremendous shift from more major owned retail facilities to more independent owned facilities. With our strength of our sales force, even though we are presenting this to the majors, the real test of this will come into the marketplace throughout the United States with the independent and the jobber. And the sales force that LSI has, which is the best and no question about it, in the entire industry, as it relates to niche markets. This is where the emphasis starts. This is where we'll start to build it. We did it the same way with the Scottsdale. In 1995, we were following the same success strategy in 2007, 2008. And I think that we're dead on target with what we're doing. I think where we have the biggest challenge is that we did such a huge job with the Scottsdale, and that was a product that through light everywhere, and now to sell against the Scottsdale with a product that is strictly a cutoff, which mean there's no glare, there's not a lot of light bouncing around, but with all of that said, the dark sky folks who have a bigger influence on the political environment today than they did in 1995 are really endorsing this product. So it's a different market, and we're not going to judge it by what major – what one major oil company does, versus what the technology will be due in the industry. And I think that's where we'll see the success of this product line itself. 
Scott Ready: I think the majors represent a certain amount of leadership in design, and that's why we are spending a lot of time working with them, but they simply don't represent the volume any more.
Bob Ready: To be honest, they don't care about the energy costs. The independent does. He is the one that is really flipping the bill on this thing versus the majors. The majors are make money hand over fist, and we know that based on their quarterly results, but the independent jobber, that's a whole different animal. So to really put the emphasis on the major oil company who really doesn't care, I hate to say it, but they don't about the energy cost. That is the operator's problem, and to develop the product and get it into the marketplace, you really don't start at the major oil company level, as much as you do the independent, the jobber. 
Rick Dotae:  That's all I have. Thanks guys. 
Bob Ready:  Thanks, Rich. I think that probably does it for the day, folks. I really appreciate your time today. The wrap up is that the disappointment is obvious. We understand the conditions of our environment that we are in. The exciting news is that we have the same dedicated staff that is really working. I’ll tell you they are working their tails off in order to try to offset some of this softness. The relationship that we have all with all of our customers is absolute. We're not losing business. We haven't lost it to anyone else. The disappointment is, is that our bigger marketers, our bigger customers are in our opinion, in a wait-and-see attitude, based on all of the negative press that's coming out as it relates to the economy, and it's just one of those times where I think as a country and certainly as an industry that we're heading in for a storm. And we'll come out of this stronger and better than we have as we have done in the past. The exciting part is that we're going to continue to keep a strong balance sheet in place. We are still looking at the potential of an acquisition or two. We'll get in to that, more detail if and when that happens. And certainly last but not least, as a market challenge in being a market-driven company, this challenge that we have is right on our plate, and our '09 strategic plan, which as we presented to the Board will share with you more guidance once that plan is developed, will give a stronger indication of how we're going to get through this stormy period. But thanks for your time. If obviously, as always, if you have any other questions, don't hesitate at all to call. For those who haven't been or seen the company, we would love to have you and show you some of this technology in its absolute condition or in its production process. And so with that I want to thank you for your time, and we'll talk to you next quarter. 
Ron Stowell:  Anybody is interested, we will post after this call a file of all of the normal regular financial information that in the past we have presented in a file with this conference call. 
Bob Ready:  Thank you, everybody. 
Operator:  Thank you very much for using ATC. Have a good day.